Holly Schoenfeldt: Good morning. Thank you for joining us today for our webcast announcing U.S. Global Investors results for the Fiscal Year 2018. I'm Holly Schoenfeldt. If you have any question during the webcast, you can enter them in the questions area of the control panel sidebar which is normally to the right of your screen. Also, you may download a PDF of today's slides by clicking on the red handout button. The presenters for today's program are Frank Holmes, U.S. Global Investors' CEO and Chief Investment Officer; Lisa Callicotte, Chief Financial Officer; and myself Holly Schoenfeldt, Marketing and Public Relations Manager. During this webcast, we may make forward-looking statements about our relative business outlook. Any forward-looking statement and all other statements made during this webcast that don't pertain to historical facts are subject to risks and uncertainties that may materially affect actual results. Please refer to our press release and corresponding Form 10-K filing for more detail on factors that could cause actual results to differ materially from any described today in forward-looking statement. Any such statements are made as of today, and U.S. Global Investors accepts no obligation to update them in the future. Now let's go to Frank Holmes, CEO and CIO, for an overview of the period. Frank?
Frank Holmes: Thank you, Holly. Good morning, everyone. As you can see in the visual U.S. Global Investors is an innovative investment manager with vast experience in global markets and specialized sectors. Founded as an investment club, the Company became a registered investment advisor in 1968 and has a longstanding history of global investing and launching the first of their kind investment products, like including the first no-load gold fund. U.S. Global Investors is well known for its expertise in gold and precious metals, natural resources emerging markets, and now a cryptocurrency space. Our strength is that we're a go-to stock in exposed emerging markets, resources and digital currencies that appear. I’ll as discuss that more in greater detail. We remain debt-free, a strong balance sheet with a reflexive cost structure. We've increased our cash balance and Lisa Callicotte will explain that in her discussion. And our monthly dividend and return on equity discipline. Even in a very challenging mutual fund world, we talked about it on a weekly basis. So, we make sure that we're focused on what can we do to generate higher returns on our invested capital. Next please? I want to thank all the top institutional investors, Royce and Associates, Financial & Investment Management Group at Michigan, the Vanguard Group which is basically index, and BlackRock Institutional Trust, and the Perritt Capital Management. In particular The Royce Funds, FIM and Perritt are active fund managers. So, thank you for your support and encouragement. Next please? For the past 10 years, we've consistently paid a dividend and the yield is a modest 1.86%. The monthly dividends are small but we have maintained that discipline of paying a dividend. The Board's approved through the September 2018. And it’s reviewed quarterly by the board. Next please? The Board approved repurchase up to $2.75 million market of its outstanding common stock on the open market through the calendar of 2018. For the quarter ended June 30, 2018, the Company repurchased only a 1,000 shares of Class A shares using approximately $2,000 dollars. And what's interesting, we use a club model to be able to buy on volatile days. And the extreme volatility we experienced last quarter of 2017 calendar quarter seems to have toned down on these huge swings, both up and down. So, that's one reason why we have bought back less stock. And what's important for investors to realize, we may suspend or discontinue at any time this share repurchase program, but it is in place. Next please? So, the balance sheet strength, no debt. Lisa's going to go into more, our CFO, Lisa Callicotte will go into more detail explaining -- just tell the new accounting changes and overall portfolio on our assets et cetera. As you can see that we had a big move into end 2017 and our investment in HIVE Blockchain which is now corrected this year with the big decline in all these cryptocurrencies, and I'll describe that little more in few minutes. Next please? So, earnings. This is a visual of where our earnings are. And we're happy that for the year, we've done better and we’ll go in more details. But, you can see this volatility that's been taking place. And it will probably be increasing as the underlying investments in companies HIVE Blockchain are volatile, they can impact us on a quarterly basis. Next please? Average assets remain relatively stable whereas there is continuously lots of redemptions across the industry in mutual funds. Next please? And that's what this visual shows you. Outflows from domestic equity mutual funds have gone into ETFs or to separate account business. And you can see here, it just hasn't stopped. And this concentration going at the passive investing is going to have problems. So, we know this from a microcosmic point of watching the GDXJ perform and not because of good stocks but because of just money flows, and that's what's happening in the stock market. And I was at a conference in New York yesterday. And so a quant fund manager was walking through how this passive investing is over 30% of all the money. And what we saw when the GDXJ is when they went to rebalance that how disruptive it was to all the gold stocks, both good and bad, just on sheer accounting of all bids to get liquidity. And this is something that seems to be picking up for the S&P 500. When you have zero cost base and you have a psychology that performance is not important, it’s just -- it is best. And I don't know when the RIA space is going to wake up that people are buying for performance and cheapest is not best. And it will create the next big correction. Next please? All because of this money flow. And what we're seeing is BlackRock, Vanguard State Street capture more than 70% of the mutual fund, ETF market and predominantly more like 90% of ETF space. And that's, just as all money flows, as well as the stock market just predominantly money flow. So, you could have good ways of good processes for picking stocks et cetera. But you could underperform trying to be the benchmark, all because it has nothing but picking, you being a better stock, better than someone else. It's just sheer money flows. And what happens when there's a correction or there's a massive rebalancing, and you could have tremendous disruption because money flows everywhere. There's no separation from who are the best players out the capital markets. They just buy everything. Next please? So, I always like to remind investors, did you know that for more than a decade, the gold has outperformed the stock market nearly 2 to 1. I mean, this century, it's just really quite remarkable how gold has far outperformed. But the narrative is continuously negative on gold. Gold is an asset class, in particular gold stocks and gold correlate to each other. But, this negative pervasiveness is seeing Vanguard now leave the gold equity space. Next please? Sharing insights with the financial media usually means defending gold and now cryptocurrencies also. Next please? So, I like to always remind investors that GROW as a public company has a high correlation to the movements in gold. And what drives gold? So, there's a fear trade, which is right now a strong dollar and high interest rates relative to other countries around the world. And love, love trade is 60% of all gold demand, and that predominantly comes out of Chindia that’s actually known as China and India. Next please? Gold’s love trade has cultural celebrations prompting the purchase of gold. And it starts with Ramadan, then we have the Indian wedding season coming up in September, then the season of lights, and then we'll have another Indian wedding season, and then we have Christmas and the Chinese New Year. And this pattern is pretty significant when you look back over 5, 10, 15, 20 years. And the other part -- and back to over 30 years, is the correlation in these countries with rising GDP per capita of rising consumption bullion for gift giving. Next please? Now, the fear trade is all but government policies. And our perspective is, we talk whether government policies are precursors to change. So, we try to right monitor and talk about this on a weekly basis any change in the monetary policy and the fiscal policy, and that’s what drives fear. Real interest rates and money supply but in particular, real interest rates is the most significant factor, weaken strong dollar. And the stock market seems to be really consumed with taxes and we're seeing lower corporate taxes and the changing spending patterns ends up making the dollar stronger and also particular stocks. Next please? So, is the gold market being suppressed? It appears that something happened around 2013 with the decoupling of gold prices. And we also have seen lots of litigation quotes as you can see in the next visual that spoofing markets supposedly on the crypto space, they all fell dramatically this week. And the CFO of Goldman Sachs says that they never said they were getting out of that business and so planted that fake news that drove markets down. We don't know but we do know that the allegations against some of the major banks regarding gold fixing is basically Barclays, HSBC, and UBS were alleged, involved in bringing the silver market. Facts should come out from court cases; there's been settlements made. So, this whole push against the price of gold is basically rational. If you're a bank -- if you're a central bank of a government and the G20 countries get together and the finance ministers, and they're printing oodles of money, like in EU buying $1 trillion of non-performing loans and the currency is unfazed by it. Money has just gone to evaporate it. And with that -- so, we believe that just gold doesn't take off, then it makes it look like they're okay and their policies of debasing the currency offering negative interest rates. It just shocks me that you would have Japan ten-year government bonds give you 10 basis points compared to the U.S., but the U.S. dollar should be screaming. On a relative basis, it's not something that's really quite fascinating to watch. But, there is some kind of a suppression taking place against these alternative asset classes. So, we have to stay tuned. And as more developers take place from litigation, courts, we’ll make sure we highlight and educate our shareholders. Next please? Inflation. This whole argument is basically being suppressed by the factors. It's really amazing there, if you go back to the 1980 or you go back to the 1990s, this one is showing you the 1980-based CPI. It would say that inflation is running more like 10%, not 2.5% or 2.7%. I feel -- I know from last chats, [ph] ETF, one of the thought process with that was that I saw our auctions are flying as U.S. Global are flying all over the world and the price of our tickets went up 300%, to say there's no inflation, just shocks me. We see that the gas prices, food prices are up 20% in the past year and inflation's only at 2.4%, 2.7%. It just shocks you that housing prices have all rebalanced [ph] and asset class, the cost of mortgages are up dramatically, and that's where people's cash flow towards but it's not showing up in the overall CPI because of the factors we are using to create that CPI. Next please? So, one of the positive things for gold longer term is this peak gold. And we had peak gold until the factors came along, which is probably the most significant technological breakthrough of extracting particular natural gas. But there is nothing for gold. And the exploration budgets have expanded, but there's just continuously -- mother nature's been very, very difficult to be able to find any major deposits and the environmental, social restrictions in emerging markets, everywhere you go, makes it extremely expensive, long time lifecycles to be able to reach production. So, we believe that there's peak supply of gold because basically exploration budgets have collapsed. And even when they were big, they didn't find anything. Next please? So, a tool for contrarian investing, the U.S. Global sentiment indicator. We like to use this. It's a collection of over a 100 different type of factors going into it, components, and it gives you an idea of sentiment from overbought to oversold. And we can see here that -- where you can see the trade wars as basically we kind of get a big rally in positive sentiment. So, announcement of trade wars and it sells off. This July was down tremendously over a very short time period to extremely oversold, and then we have a big rebound and now it's happening again. And the conference I was attending yesterday, put out by Cornerstone Macro was very, very insightful. And the comments were basically that President Trump really wants and his team, zero tariffs. And the issue is then that the rest of the countries, they've helped so many countries of the world come out of poverty, expanded economies with an unleveled playing field. So, the same thing in particular is with China. China has all these tariffs and restrictions on what America can sell into China but they want unfettered discretion to sell to our $13 trillion dollar, I repeat $13 trillion consumer economy, which is growing. And we see that -- and Europe is the same thing. When President Trump went over to Europe and he's going to slap on tariffs on cars, immediately it was -- Merkel went to the EU and came back and there was changes made because it's an unleveled playing field. America can't sell its American company cars into Germany but they want unfettered discretion sell into the U.S. So, I think that this battle is much more about either there are going to be lots of selective tariffs all over the place or there is going to be zero tariffs. And then, WTO has basically failed. And China is on ways around fighting back. And what's really important these conferences comprise that a lot of the political [ph] policies that have come out of Trump and the rhetoric, it was actually Ross Perot who hurt George Bush I Senior to beat President Clinton in the early 90s because Ross Perot garnered 20% of the conservative vote. And they are predominantly fiscal conservatives that voted and supported him. And he was very conservative regarding going into having battles in other countries. He was concerned about NAFTA, in particular, the deal was done with Mexico and Drain the Swamp, the deep state, if you want to call it or the unfettered discretion of regulatory policies being based in every sector of the economy, there's a big push back. And so that narrative that helped Ross Perot captured 20% of the voters. That swing vote, voted similar to Obama, and vote [ph] to strong leadership, not so much they’re loyal to a political party, but they believe that that leader can help change the economy. And we're seeing this sort of shift that’s taken place. We've written about this. And we think there is something much more significant than global, on nationalization -- not national but nationalism. And we saw with Modi in India, to China, to Eastern Europe, to America, is something happened that's a global concern. And so, we're going to just have to be able to pivot as money managers throughout these changes. But this sentiment continuously is rebounding now. And we'll see what happens on the next level of battling with China. Their consumer economy is so much smarter than ours. And so, they really need us much more than we need them. And that's the ongoing argument where President Trump has leverage. He believes that they are in need to be able to sell through, the consumers of America is his ability to renegotiate agreements. So, let's just stay tuned with that in the capital markets. But, we’ll on a regular basis, publish this sentiment indicator. Next? We’ve been hosting several types of ETF webcasts, reaching valuable institutional audience. We recently had Randy Smallwood, CEO of Wheaton Precious Metals, talk about the royalty company business model, which we’re big supporters of. And you can download, if you are a credit investor, RIA slides to see the presentation. Next please? The magic behind the math, understanding osculation. I highly recommend you go to our website and read about managing expectations whitepaper. But, there is a tremendous inverse relationship to a strong dollar, weak dollar got pressure gold. And it’s recognizing whenever those spreads get extreme, one of them have to capitulate. And we’re due for gold going for a big rally. Next please? Management expectations, another factor I would like to remind investors is that what’s the daily volatility and the rolling year volatility. What’s important here is that bullion and the S&P are approximately the same volatility, even though the general media narrative is that gold is riskier when it is the same ball for the S&P 500. But as you step out and look at the emerging markets or you look at gold stocks, the volatility has increased greatly. And what’s interesting here is that number one in volatility is actually the gold stocks and then is going to be oil, oil prices are very volatile. Next please? When we take this concept of understanding one-day and ten-day periods for the Bitcoin and Ethereum, we can see the volatility has actually expanded in the last little while. But, it’s substantially greater on a daily basis of a factor of 6 to 7 times greater, a Bitcoin Ethereum to gold. Next please? Major events suppressing the price of Bitcoin. It is predominately the headwinds of regulations, of what will the regulations be. And I think, it was very helpful for the SEC coming in and cleaning up some of these ICOs that raised billions of dollars last year that were really selling securities, not a utility coin. And the thought process is that there’ll be global synchronized policies that G20 was supposed to come on in July, but now it’s been delayed till next month, October. So, I think that once some clarity is there, then this whole crypto world will change. Some of the real positive parts that we’ve seen is that CFA exam. When you get your see CFA, it’s recognized all over the world. You get your law degree in the U.S., you have to redo your law exams to go practice on another of jurisdiction, and same thing with the certain accounting degrees et cetera and MBAs. But CFA society is ubiquitous that sets a pretty tough exam and is highly respected and recognized all over the world. And now, they’ve reversed the position that they’re going to start including cryptocurrencies on their exams. In addition, the Facebook reverses position of crypto advertising. So, I think we’re slowly finding a bottom here. Next please? In June of this year, the Federal Reserve of St. Louis added a cryptocurrency to its popular Federal Reserve Economic Data. This signals cryptocurrency’s continued maturity. Next please? Coinbase was growing at an incredible rate a year ago. It slowed down modestly but the valuation has continued to grow as the company grows and Coinbase only five years ago were $75 million, now for $1 billion. It grew -- as I’ve mentioned before, it grew faster in three years than what we saw -- excuse me a second, what we saw a Schwab take 30 years to do. I mean it's just amazing that in three years it get -- attract 13 million customers, which is greater than what Schwab took 30 years to get 10 million. So, there's something that's happening in that crypto world. It's not going away. Hopefully, it resolves itself, bring rapid way is the best for us because we've made a major [ph] investment. The next visual? Well, this time last year, U.S. Global announced a strategic investment in HIVE Blockchain Technologies. I became the Chairman of the Board. Recently, I became the active Chairman, Executive Chairman basically in the search for a new CEO as Harry Pokrandt retired. But HIVE’s growth potential, you can see the next visual. It's a huge, huge cash flow, revenue. And the volatility has been pretty immense. In January, these numbers were pushing and looking like when Bitcoin $19,000 and Ethereum was 1,300 but the run rate would be on a pro forma, these are all of pro forma, would have been 300 negative revenue. And it's come down dramatically with the price of coins. And this will have to be reset. In fact, with this week, if you -- this'll take it down another probably maybe about close to $10 million -- $8 million worth of decline we've experienced this week. But next week, it can rebound dramatically. So, that's just a very volatile space. But, it is latest in that sort of technology world of money and different forms of currency. I do believe that security tokens are going to grow. There's going to be more regulations there. But, the real part is for the regulators to realize that the millennials of the world want to trade 24/7. They don't want to have limited hours. They want to be able to trade globally. And I think that we're going to probably start to see stocks down the road take on that adoption of trading more globally. But, HIVE Blockchain, you can read about HIVE Blockchain, you can sign up and get information on it. Earlier this year, we had Iceland trip with John Mauldin there, there was Harry Pokrandt. There we are mining Ethereum coin. Now, as U.S. Global for its growth in addition to going to launch HIVE, we launched GOGO, which is a smart beta. [Indiscernible] gold stocks in the [indiscernible] stock exchange a year ago. And then, we also launched in Canada with Galileo Partners Fund. That was the first Fund really to go on the crypto equity space. And it still has spectacular performance, as you can see but it's only for credit investors. And now that fund's been closed and rolled over into a new fund. But the thought process of being early, first mover advantage did work. The next visual's on the JETS ETF product. It’s continued its path of success. But, it's very mercurial with the price of oil. When oil goes above a 50-day moving average, then we can see redemptions. When oil falls below the 50-day moving average, JETS airlines stocks surge, they rise, and we get creations. So, it's important; that’s our relationship for investors to recognize and drive further traffic in JETS, which is just under $100 million. GOAU, we're very proud that we launched a year ago. We did I think 8,000 hours of commented on regressional work, like a pharmaceutical company has to do before launching a product and being approved by the FDA. We went through rigorous analysis comparing our active skill set along with the quant approach. And we're very thrilled to launch the product. We're disappointed it hasn't grown to the degree that we’d anticipated. But it's done exactly what we thought it would do for investors. And it’s far outperformed that GDX and the GDXJ. Back testing show that it would outperform 92% of the time, and basically that's what it did. So, we're happy that our modeling and our work has gone and shown in the capital markets its performance. So, both one-year and year-to-date, it's quite significant. I've been very long winded because I had a lot to talk about from new products, from launching of HIVE, celebrating one-year of GOGO, celebrating new funds in Canada and HIVE. So, now, I’d like to turn it over to hardworking, Mrs. Dynamite, Lisa Callicotte. 
Lisa Callicotte: Thank you, Frank. Good morning. Before I summarize the results of operations, I'd like to discuss the accounting treatment related to our direct investment in HIVE, and changes in how this and similar investments will be recorded next fiscal year. USGI, through its wholly-owned subsidiary, U.S. Global Investors Canada Limited, directly owns 10 million shares of HIVE. At June 30, 2018, these shares were included in investment securities available for sale on our balance sheet. And during fiscal 2018, unrealized gains and losses on available for sale securities were excluded from earnings and recorded in other comprehensive income as a separate component of shareholders' equity until realized. Slide 43. We have summarized our accounting changes in our investments due to the new accounting rules. So, we adopted accounting standard update ASU 2016-01 Recognition and Measurement of Financial Assets and Financial Liabilities, effective July 1, 2018. So, starting in our fiscal year 2019, some of our corporate investments will be accounted for differently. There will no longer be an available for sale classification for equity securities with readily determinable fair value. And as a part of the adoption [technical difficulty] a required cumulative effect adjustment and reclassified $3.1 million in unrealized net gains out of cumulative comprehensive income and into retained earnings. And effective July 1, 2018, changes in fair value of these investments, formerly classified as available for sale were recorded through earnings rather than comprehensive income. And this will include any changes in market value of our investment in HIVE. We anticipate that this will cause our investment income and thus, the Company's net income to be more volatile. Now, I'll discuss the results of operations for 2018. And on page 44, we recorded operating revenues of $6.3 million for the year, which decreased $502,000 or 7% from the $6.8 million in fiscal 2017. This was primarily due to decreases in assets under management related to shareholder redemption. Operating expenses for the year were $8.5 million [technical difficulty], primarily for the following reasons. Employee compensation and benefits increased $516,000 or 14%, mainly due to increases in bonuses and group insurance costs; general and administrative expenses increased $272,000 or 11% due to increase in ETF costs and increase costs related to new Galileo Fund; and our operating loss for the fiscal year was $2.3 million. On slide 45 we see that other income was $3.2 million. In fiscal year 2018 -- and this was an increase from prior year of $2.8 million. Investment income increased $1.2 million compared to fiscal year 2017, primarily due to positive change in unrealized gains and losses on trading security at $727,000 and $483,000 less in impairment losses. These were somewhat offset by a decrease in net realized gains, losses and securities of $98,000. Also in fiscal 2018, we made investments in two Galileo Funds that were accounted for under the equity methods accounting. Under equity method of accounting, the Company share of each fund’s net income or loss is recognized in earnings. We recorded income from equity investments of $1.6 million for fiscal 2018. Net income attributable to USGI after taxes for the year is $647,000 or $0.04 per share, which is an increase of $1.2 million or $0.07 per share compared to the net loss of $513,000 or a loss of $0.03 per share for fiscal 2017. Moving onto page 46. We see we still have a strong balance sheet. And it was a high level of cash and security that combined to make up 75% of our total assets. And cash increased approximately $2.4 million, mainly due to cash provided by investing activities. As you can see on page 47, we still have no long-term debt. The Company has net working capital of $15.3 million and a current ratio of 9.7 to 1. With that, I’d like to turn it over to Holly.
Holly Schoenfeldt: Thank you, Lisa. As you can see, starting on slide 50, a majority of our fund assets are in emerging markets and natural resources while 32% are in domestic equities and fixed income. As for distribution, more than three quarters of our assets come from retail investors and the other quarter from institutional investors. Our sales and marketing efforts have continued to focus on our mutual funds including those concentrated on gold, natural resources, and emerging markets as well as our ETFs. We believe investors appreciate the expertise that we offer and we are pleased to have received numerous awards from Lipper over the years as recognition by Morning Star. Investors can find more information about our funds on our website usfunds.com. The Company and our funds continue to receive an invaluable amount of viral publicity gained through media interviews. Frank Holmes often shares his insights with financial outlets likes CNBC Asia, Bloomberg Radio and Kitco News, just to name a few. And we continue to receive recommendations by influential financial newsletter writers as well along with sharing and syndication of our award-winning original content by third-party publishers. The newsletters have a loyal following and receive millions of visitors each month. Frank Holmes CEO Blog, Frank Talk continue to grow in popularity as well. His commentary is often featured by prominent publications including Forbes, Seeking Alpha, the Crust [ph] and Business Insider with millions of monthly visitors. We like to call Frank Holmes our globe charter because he along with others on our investment team travel around the world to share our thought leadership and also interacts frequently with our followers through Facebook, Twitter, LinkedIn, Instagram, YouTube and Pinterest. In December, we launched a new video series to supplement our award-wining Frank Talk Blog, Frank Talk Live features Frank Holmes as he dives into market moving events of the week and shares his thoughts on trending financial topics. We feature other members of our investment team as well in similar short clips. And since implementing these new videos, we’ve already witnessed syndication to several third-party sites as well as an increase in subscribers to our YouTube page and Investor Alert Newsletter. Kitco News is the biggest gold website in the world with an audience of over 30 million monthly visitors and in partnership with The Street continues to feature the Gold Game Film show with Frank Holmes' gold market analysis. And since the show's beginning, a 147 episodes have aired. And while I'm on the slide about Kitco, they recently shared some of their website demographics with us, which I found to be quite interesting. Primarily visitors to their site come from the U.S. and Canada, a majority are male between ages of 35 and 65 and have some kind of higher education. And we keep in mind similar statistics for our own website visitors, many of which are actually [technical difficulty]. Back to usfunds.com. We decided to look into the most visited Frank Talk Blog Posts over the years, no matter what year they were written in. So, here, you will see that the most visited articles include number one, The Top Ten Countries With The Largest Gold Reserves; number two, What Does It Take To Be In The Top 1 Percent; and number three; 11 Reasons Why Everyone Wants To Move to Texas, which was actually posted back in 2016, but it continues to receive lots of clicks and shares. And all of this coverage helps us leverage our brand by reaching millions of readers, viewers and potential investors. Our website usfunds.com was visited over 551,000 times from June of 2017 through June of 2018 by curious investors from all over the world. US Global Investors is well-known for timely and balanced market insights and thought leadership. The Company has been awarded several our STAR awards by the Mutual Fund Education Alliance, adding three more at the end of 2017, including Best Overall Retail Communication within the small funds category. The MFEA STAR Awards recognize excellence in investor education. Our weekly free investor alert newsletter has been named the best electronic newsletter six times. To-date, the Company has earned a total of 83 STAR awards. And this year, our Gold Love Trade Whitepaper was also recognized for an award by the American Marketing Association's local charter. This year, we are very proud to celebrate the 11th anniversary of our CEO Blog Frank Talk. Frank Talk was one of the very first blogs distributed by a mutual fund company and has also received numerous awards from the MFEA over the years. We have surpassed 10,000 subscribers to the blog. Investors can sign up at usfunds.com and join over 43,000 subscribers who receive the award-winning investor alert and advisor alert, e-newsletters as well as Frank Talk.
A - Holly Schoenfeldt: And now we would like to open it up to questions. We have a few more minutes. And as a reminder, you can enter the questions in the control panel on your screen. And we have one or two here already. Frank, I'm going to direct this, first one to you. It says, do you see GROW moving more with the price of gold or the price of Bitcoin recently or is it kind of a combination of both?
Frank Holmes: I think, this is a combination of both. But, the daily volatility has to do with the crypto space. It appears that volume exploded last year in the fourth quarter of 2017 with the investment in HIVE. Our volume just went up exponentially. And a lot of that has to do with quant funds that are rather than going into trade through a Coinbase or an exchange, Ethereum or Bitcoin they've been using GROW as a proxy. And I heard that from institutional training desks in Canada also. So, I think that it's a combination of both.
Holly Schoenfeldt: Great. And another one for you, Frank, is what is next for gold and commodities, and what does this mean for GROW?
Frank Holmes: Well, the most important part is the product, coming out with new products and innovative products, such as GOAU for the U.S. and GOGO for Canada in that gold space. And I think, there's going to be -- as I mentioned earlier that passive investing is going to create a crisis. And so, I don't know how, but we do know from what happened at GDX and GDXJ that -- particularly GDXJ, [technical difficulty] is cannibalization that took place and the volatility went up greatly. It has nothing to do with the good stock versus that stock, just fund flows. So, I think that GOAU is starting to show that having selective gold stocks from a quant approach, you cannot perform this other money flow index. And hopefully that grows at a $100 million, which starts to throw off positive cash flow for us to continue to grow. And just always the wonder [ph] that there's billions of dollars of these other inferior products, but this is part of marketing. The first mover advantage of being in the marketplace is a key. But, the other one is just seems to be expense ratios are driving such fund flows and indexing having zero. And we'd like to point out that Vanguard, which basically captures so many gold investments of the gold stock fund with billions of dollars, because they were cheaper was better thought process on argument. And now, they're basically selling $2 billion of the gold stocks and going to go down to 20% weighting and change their gold -- mutual fund into a gold, to a cyclical product. And so, what we think for us is that this space is basically -- the argument is so flawed because we outperformed, our gold shares fund outperformed the Vanguard gold equity fund for 1, 3, 5 and 10 years, but it grew bigger, all because cheaper was allegedly better, and then, often the other gold stock investors. We still maintain that it’s healthy to have a 10% weighting in gold and gold stocks and we balance once a year. It helps your sharp ratio; it helps the overall protection against imbalance, fiscal monetary policies by governments. And we think that we're well-positioned to be able to provide superior products. So that's what we have to do. The other part is that we're really at an oversold when it comes to equity versus commodities. Maybe take the Goldman Sachs total return index and divide it by the S&P 500 as a factor to oversold and overbought, we are definitely at a troughing period. And so, we believe that any type of sustained global growth will basically, all the sudden, see this demand for commodities pick up. And we believe, we’re trying to do it on the Silk Road and recently playing Santa Claus road to Africa is very constructive long-term for commodity demand. And so, with that, we remain bullish.
Holly Schoenfeldt: Great. Thank you for that, Frank. All right. Well, this concludes U.S. Global Investors webcast for fiscal year 2018. The presentation will be available on our website at usfunds.com. Thank you all for your participation today.
Frank Holmes: Thank you, Holly and Lisa.